Executives: John McCallion - Head of Investor Relations and Vice President Steven A. Kandarian - Chairman of The Board, Chief Executive Officer, President and Chairman of Executive Committee Eric T. Steigerwalt - Interim Chief Financial Officer and Executive Vice President William J. Wheeler - President of The Americas Steven J. Goulart - Chief Investment Officer and Executive Vice President William Hogan - 
Analysts: Thomas G. Gallagher - Crédit Suisse AG, Research Division Ryan Krueger - Dowling & Partners Securities, LLC Sean Dargan - Macquarie Research John M. Nadel - Sterne Agee & Leach Inc., Research Division A. Mark Finkelstein - Evercore Partners Inc., Research Division Christopher Giovanni - Goldman Sachs Group Inc., Research Division Randy Binner - FBR Capital Markets & Co., Research Division Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division Edward A. Spehar - BofA Merrill Lynch, Research Division Joanne A. Smith - Scotiabank Global Banking and Market, Research Division John A. Hall - Wells Fargo Securities, LLC, Research Division
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the MetLife First Quarter 2012 Earnings Release Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.  Before we get started, I would like to read the following statement on behalf of MetLife. Except with respect to historical information, statements made in this conference call constitute forward-looking statements within the meaning of the federal securities laws, including statements relating to trends in the company's operations and financial results and the business and products of the company and its subsidiaries.  MetLife's actual results may differ materially from the results anticipated in the forward-looking statements as a result of risks and uncertainties, including those described from time to time in MetLife's filings with the U.S. Securities and Exchange Commission. MetLife specifically disclaims any obligation to update or revise any forward-looking statements, whether as a result of new information, future developments or otherwise.  With that, I would like to turn the call over to John McCallion, Head of Investor Relations.
John McCallion: Thank you, Marla, and good morning, everyone. Welcome to MetLife's First Quarter 2012 Earnings Call. We'll be discussing certain financial measures not based on Generally Accepted Accounting Principles, so-called non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures may be found on the Investor Relations portion of metlife.com, in our earnings press release, our quarterly financial supplements and in the other financial information section. A reconciliation of forward-looking financial information to the most directly comparable GAAP measure is not accessible because MetLife believes it is not possible to provide a reliable forecast of net investment and net derivative gains and losses, which can fluctuate from period to period and may have a significant impact on GAAP net income.  Also, please note that our -- that the financial results for this quarter and all prior periods reflect our new reporting structure, as well as the adoption and retrospective application of the new DAC accounting guidance. In addition, as provided in our earnings press release, we have recast our 2012 projected operating earnings by segment to align with the company's new financial reporting structure. In doing so, we have neither affirmed nor updated our 2012 projections, which were originally provided on December 5, 2011.  Now joining me this morning on the call are Steve Kandarian, Chairman, President and Chief Executive Officer; and Eric Steigerwalt, Interim Chief Financial Officer. After their prepared remarks, we will take your questions. Also, here with us today to participate in the discussion are other members of management, including Bill Wheeler, President of Americas; Steve Goulart, Chief Investment Officer; Michel Khalaf, President of EMEA; and Bill Hogan, Executive Vice President and Head of our Japan operations.  With that, I would like to turn the call over to Steve.
Steven A. Kandarian: Thank you, John, and good morning, everyone. I'm pleased to report that MetLife delivered strong financial results in the first quarter. We had healthy top line growth with premiums, fees and other income rising by 7% year-over-year. Our bottom line performance was even stronger. MetLife generated operating earnings of $1.5 billion or $1.37 per share, up 11% year-over-year. MetLife's performance during the quarter was driven by some fundamentals in the core earnings power of our diversified global portfolio of businesses.  Eric will discuss our segment results in greater detail. I wanted to provide a high-level overview of how each of our major geographic divisions is performing. Our businesses in the Americas, which consists of the United States, Mexico, Argentina, Brazil, Chile, Colombia and Uruguay, performed very well in the first quarter. In our U.S. business, operating earnings were up 12% year-over-year, driven by strong underwriting, improving core spreads and rising equity markets.  Variable annuity sales in the first quarter were down 13% year-over-year and 32% sequentially to $4.9 billion, consistent with our expectations. As a reminder, our target range for VA sales in 2012 is $17.5 billion to $18.5 billion. While our annualized first quarter sales put us slightly above the top end of the range, our expectation is that the product and pricing actions we have taken will result in sales within the target range.  In Latin America, operating earnings were up 22% year-over-year, driven by growth across the region and improved underwriting results. The region saw a very strong sales growth in accident and health, credit insurance and retirement products. In Mexico, our largest Latin American market, underwriting results for life products remained highly favorable, although increased competition could pressure growth going forward.  In Asia, which consists of Japan, South Korea, Australia, Hong Kong and China, our businesses delivered growth in operating earnings of 33% year-over-year. In Japan, our second largest market, sales were up 28% year-over-year with all distribution channels growing by double digits. Australia and China saw very strong sales growth, although off a smaller base. Total sales in Asia were up 15% while premiums, fees and other revenues were up 8%.  In our EMEA region, which consists of 35 countries across Europe, the Middle East, Africa and South Asia, operating earnings were down 4% year-over-year, primarily due to unfavorable exchange rates and a challenging economic environment in Europe. Premiums, fees and other revenues were up 9% year-over-year.  At our last Investor Day in December of 2011, I noted that one of MetLife's guiding principles is to continuously reassess our strategy, especially given the rapidly changing external environment. That is why we conducted strategic reviews in 2007 and 2009 and began another in 2011. Over the last several years, MetLife has built a solid foundation to deliver value for our customers, shareholders, employees and the communities in which we operate. Our strategic review has focused on developing a clear roadmap for creating shareholder value.  At our next Investor Day on May 23, you will hear further detail on many of the themes I've been emphasizing for the past year, taking a portfolio view of our business, treating capital as precious, avoiding growth for growth's sake and earning above our long-term cost of capital. An example of these principles in action is our decision to manage VA sales to appropriate levels. I look forward to talking with you more about the tremendous opportunities ahead.  Now let me turn to MetLife's capital position and plan. MetLife is a financially strong company. At the end of 2011, the combined risk-based capital ratio for our U.S. life insurance companies was 450%, and the solvency margin ratio for our Japan business was 880%.  As you know, we are selling the depository business of MetLife Bank to GE Capital, which is a critical step in our ceasing to be a bank holding company. This action will put us on a level playing field with our insurance company peers. Once regulatory approval has been granted and the transaction closes, our deregistration as a bank holding company is expected to follow shortly thereafter. The actual timing of these events could vary based on the regulatory review process.  Yesterday, MetLife also announced that we are exiting the reverse mortgage business. Nationstar Mortgage LLC will acquire MetLife Bank's reverse mortgage servicing portfolio subject to regulatory approval, and then MetLife -- and MetLife Bank will no longer accept new reverse mortgage loan applications and registrations.  Earlier, we announced the sale of our warehouse finance business and the discontinuation of our forward mortgage origination business. Together, these actions will allow MetLife to maintain its strategic focus as a global insurance employee benefits leader.  We received a number of questions regarding whether we will be designated a nonbank systemically important financial institution by the Financial Stability Oversight Council. Let me say first that we do not believe traditional, regulated insurance activities generate or amplify systemic risk to the U.S. economy. However, in the event that FSOC names MetLife and other large insurers as SIFIs, it will be essential to tailor the new prudential rules to the insurance industry. We are discussing with policymakers the appropriate regulatory framework for nonbank SIFIs, and we are urging that the new rules reflect the unique asset and liability characteristics of insurers.  On the issue of returning capital to shareholders, our first step is to complete the process of de-banking. Once that has occurred, we will examine a range of factors, including the state of the global economy, MetLife's earnings and capital position and the regulatory outlook in the United States, including the potential shape of the Federal Reserve's prudential regulations for nonbank SIFIs. Based on these considerations, we will bring a recommendation on capital deployment to our board of directors. As a reminder, any specific announcement with regard to our dividend will be made in October as usual.  Let me close by restating my belief that MetLife is well positioned for profitable growth today and into the future. We are aligning the company both strategically and operationally to achieve that growth, and I look forward to sharing with you on May 23 the results of our latest work.  Thank you, again, for joining us this morning. And with that, I will turn the call over to Eric Steigerwalt.
Eric T. Steigerwalt: Thanks, Steve, and good morning, everyone. MetLife reported operating earnings of $1.5 billion or $1.37 per share for the first quarter. This quarter's results included a few onetime items, which I will discuss shortly, that depressed operating earnings by $0.02 per share.  Overall, I would characterize this as a very good quarter, well above our plan, driven by strong interest in underwriting margins, as well as solid growth within all regions, as total company premiums, fees and other revenues grew to $11.6 billion, up 7% year-over-year. The quarter also benefited from favorable market performance.  Interest margins were favorable, primarily due to higher recurring investment results but also from variable investment income, which came in at the high end of our planned range. Over time, the general level of spreads will come down if interest rates remain at their current levels. However, as we have discussed previously, we have been able to maintain strong spreads in this environment as a result of our ALM discipline, private origination capabilities and the use of derivatives.  In the Americas, we saw favorable underwriting results in our Group, Voluntary and Worksite Benefits segment, particularly in the nonmedical health and property/casualty businesses, as well as in Latin America. In addition, expenses remained very much under control. Our overall, expense ratio was 25.2% on a reported basis in the quarter and 24.2% when adjusting for pension and post-retirement benefits. While the new DAC accounting rules elevate the expense ratio, our underlying discipline around expenses remains very much intact.  Now I'll walk you through our financial results and point out some highlights. First, let me discuss some onetime items which occurred during the first quarter. As a result of a multistate examination and settlement payment related to unclaimed property and MetLife's use of the Social Security Death Master File, retail life incurred a $26 million after tax or $0.02 per share charge related to the expected acceleration of benefit payments to policyholders while our Corporate & Other segment incurred a $26 million after tax or $0.02 per share charge related to the examination payment. This was partially offset by the following favorable onetime items in the quarter, which impacted operating earnings by $22 million after tax or $0.02 per share.  In our Asia region, operating earnings were favorably impacted by $12 million after tax due to an accident and health reserve release in Japan. Our property and casualty business had a favorable prior year development reserve release in its auto business of $4 million after tax and incurred catastrophe losses of $17 million after tax, which was $3 million below our first quarter plan provision of $20 million after tax. And finally, our Corporate & Other segment had a few additional onetime items that benefited earnings by a net $3 million after tax.  Now let's take a look at the results in the quarter by region. In the Americas, reported operating earnings were $1.2 billion for the first quarter, up 13% versus the prior year quarter of $1 billion. The primary business drivers for this earnings growth were in retail annuities, property and casualty and Latin America.  Retail annuities operating earnings were $282 million, up 37% year-over-year, as the business experienced favorable market performance and strong investment spreads. As a result of the S&P 500 being up almost 12% in the quarter, retail annuities had an initial market impact on operating earnings of $38 million after tax due to favorable DAC and SOP 03-1 true-ups. Deferred annuity spreads, as reflected in our quarterly financial supplement, achieved a record of 309 basis points in the quarter, driven by core earned rates from higher fixed income yields, higher derivative income and lower credit rates.  Property/casualty operating earnings were $91 million, up 60% year-over-year, as a result of favorable non-cat accident year experienced and favorable catastrophe losses, primarily in our homeowner's line. The combined ratio for property and casualty was 91.7% and 88.2% excluding catastrophes in the quarter. This was significantly below the combined ratio of 98.7% and 92.5% excluding cats in the first quarter of 2011 and well below plan. While we are pleased with these results, it should be pointed out that catastrophes are seasonal, and we plan for higher cats in the second and third quarters.  Latin America operating earnings were $148 million, up 22% year-over-year. On a constant rate basis, operating earnings were up 30% due to growth across the region and improved underwriting results. We expect Latin America's results to remain strong for the balance of the year.  In addition, the nonmedical health total benefit ratio for the quarter was 86.7%, 100 basis point improvement versus 87.7% in the first quarter of 2011. Results in dental were solid, reflecting favorable trend and utilization. And disability results were encouraging as the LTD incidence rate improved versus the prior year quarter and actually came in better than expected. However, I should point out recoveries continue to be weak.  Mortality results for the Americas were mixed in the quarter. Group life's loss ratio for the quarter was 89.1%, higher than the prior year quarter of 88.2% and a very strong fourth quarter of 85.2%. That said, the ratio was within our expectations. Retail life mortality ratio was 91.6% in the quarter, better than the prior year quarter of 92.5% but higher than a very favorable fourth quarter of 81.1%. Overall, retail life underwriting results were below plan but we would expect them to return to more normal levels.  Premiums, fees and other revenues for the Americas were $8.3 billion, up 7% from the prior year quarter. This growth was primarily driven by higher separate account fees and income annuity premiums in retail annuities, higher closeouts and structured settlement sales in our Corporate Benefit Funding segment and growth in immediate annuity sales in Chile and universal life and AFORE sales in Mexico, which are all in our Latin America segment.  Let me turn to our Asia region. Operating earnings in the Asia region were $297 million, up 33% from $224 million in the prior year quarter, due to strong growth in the business, particularly in Japan, as well as improved expense efficiency. In Japan, operating earnings growth was driven by favorable results in accident and health and ordinary life, as well as improved expense efficiency.  Premiums, fees and other revenues in Asia were $2.3 billion, up 8% from $2.1 billion in the first quarter of 2011. On a constant rate basis, revenue grew 3% due to business growth in Japan, Korea and Australia, as well as favorable persistency in both Japan and Korea. Japan premiums, fees and other revenues were up 10% year-over-year, 3% on a constant rate basis.  In addition, total sales for the region grew 15%, driven by increases in Japan, China and Australia. For the region, key product drivers were life and annuity sales in Japan, accident and health sales in Korea and China and group sales in Australia.  Turning to EMEA. In EMEA, first quarter results were solid and in line with expectations despite the challenging market conditions across the region. Operating earnings were $76 million, down 4% from the first quarter of 2011, driven by the strengthening of the U.S. dollar versus key European currencies and the challenging economic environment. On a constant rate basis, operating earnings were up 2%, reflecting growth in emerging markets within the region. EMEA sales grew 7% compared to the first quarter of 2011 driven by our new distribution partner in Turkey and strong credit life sales.  Premiums, fees and other revenues increased 9% from the first quarter of 2011. On a constant rate basis, revenues were up 14%, driven by strong persistency and growth in emerging markets. Immediate annuities in Western Europe were also a driver. However, we are evaluating the product in light of the competitive environment there, which may dampen the run rate going forward.  Now let's turn to investments. Let me begin with variable investment income, which, as a reminder, now excludes securities lending. Pretax variable investment income was $239 million and within our 2012 quarterly guidance range of $150 million to $250 million. After taxes, variable investment income was $155 million. Barring any unforeseen market disruptions, we expect variable income to remain within our 2012 guidance range.  Next, let me briefly mention realized investment gains and losses. In the first quarter, we had after-tax investment portfolio net losses of $145 million. Included in this net loss are impairments of $103 million after tax. We expect investment portfolio net losses to remain relatively modest for the remainder of the year and within the full year range established on our Investor Day call.  Moving to our commercial mortgage holdings. This portfolio continues to perform well. As of March 31, our valuation allowance is $368 million, down from $398 million at December 31. The loan-to-value ratio of our portfolio improved again this quarter to 60% from 61%, as valuations continue to improve in the markets where we invest. Additionally, as of March 31, there were no delinquent loans in the portfolio and no losses recorded during the quarter on this $40 billion portfolio.  With respect to our derivatives portfolio, we had after-tax losses of $1.3 billion that were driven primarily by the impact of MetLife's credit spreads and higher interest rates. As a reminder, derivative gains or losses related to MetLife's credit spreads do not have an economic impact on the company.  Lastly, I would like to update you on certain European exposures. As of quarter end, the GAAP book value of our peripheral European sovereign debt was $210 million. In the second quarter of 2012 (sic), we did participate in the Greek debt exchange, and as a result of the exchange, our exposure to peripheral European sovereign debt has been further reduced to approximately $100 million, which is a very modest level given the size of our overall investment portfolio. With respect to European banks, we continue to selectively trim our positions during the quarter, and we believe our remaining exposure is very manageable given the size and diversification of our overall investment portfolio.  Now let me discuss our balance sheet and capital position. First, our book value per share, excluding AOCI, is at $46.52 as of March 31, reflecting strong year-over-year growth of 10%. That said, I should point out that our ending 2011 book value, excluding AOCI, was reduced by $2.5 billion or $2.34 per share as a result of the new DAC accounting rules. When adjusting for other equity impacts, the total reduction was $2.3 billion, which was within the range of our guidance of $2.1 billion to $2.6 billion provided on our December 5 call. In addition, after-tax derivative losses of $1.3 billion that I mentioned previously reduced book value by another $1.26 per share.  Next, I'd like to provide you with an update on our statutory earnings and capital position. Our preliminary statutory operating earnings and statutory net income for our domestic insurance companies for the first quarter of 2012 were approximately $1.5 billion and $1.3 billion, respectively. The solid results were primarily driven by favorable underwriting and improved market conditions in the quarter.  As Steve mentioned, our combined RBC ratio for our U.S. life insurance companies, excluding Alico, at year end 2011 was 450%. Also, our Japan solvency margin ratio on the new basis was 880%. Our results clearly reflect a strong capital position in the U.S. and Japan.  Cash and liquid assets at the holding companies at March 31 were approximately $4.4 billion, giving us deployable capital of roughly $3.4 billion above a $1 billion holding company cushion. In addition, we are projecting that deployable capital remains within the guidance range of $6 billion to $7 billion at year end 2012 prior to any capital management actions.  In conclusion, MetLife had a very good first quarter. Our margins remain strong, as we continue to focus on generating profitable growth, and our financial strength is intact, as reflected in our capital position which remains robust.  And with that, let me turn it back to the operator so we can take your questions.
Operator: [Operator Instructions] And our first question will go to the line of Thomas Gallagher with Crédit Suisse.
Thomas G. Gallagher - Crédit Suisse AG, Research Division: Just first, I had a sort of a philosophical question on capital and then a specific earnings question. The -- I guess the philosophical question is, how are you approaching the view of required capital right now? I mean, it's clearly in a bit of flux, both for you all and the industry, depending on different ways you might measure it versus history. So just curious how you would approach that. And in particular, how are you looking at that as part of your strategic review? And then just a question on the earnings side. I guess the U.S. earnings came in well above plan. How should we think about that as it relates to a run rate? It looks like to me it was a mix of strong investment spreads and good underwriting results. What's your anticipation as to whether or not that's going to be sustained for the balance of the year?
Steven A. Kandarian: Tom, as to capital, let me just start by saying that our philosophy about returning excess capital to shareholders remains intact. Having said that, we've lived most of our existence at MetLife under state regulatory regimes, which have one set of rules for us. We now, as you know, as a bank holding company are regulated additionally by the Fed, and there are different rules as a bank holding company, which we've talked about with respect to the Fed stress test we just went through. So that's why my remarks were cautious, in a sense of measuring all this, trying to take into account this changing regulatory landscape that we currently face. We are de-banking. There's still the issue of whether MetLife and other insurers, large insurers, may be designated by FSOC as a nonbank SIFI. So all those factors are taken into consideration as we think about when and how to return capital to shareholders. And as that landscape becomes clear to us and as we get through the bank -- de-banking process, then we'll have more to say about that. So those things are still a moving target. To date, no one's been designated yet in nonbank SIFIs. So we have to wait and see more on that. If you are designated as such, the rules are, at this point, not promulgated. So it is -- it's a difficult environment in which to operate from the point of view of providing clarity and certainty to our shareholders this very moment about our capital plans. As to U.S. earnings, I’ll simply say we had a very good Q1. Eric went through some of the details in that in terms of what drove those good earnings. As mentioned, we're not changing our guidance. Obviously, the strong first quarter puts upward pressure within the range that we provided to you at Investor Day. And beyond that, I'll simply say that we're heartened by the first quarter but it is uncertain environment out there in the world today and we're remaining with the current guidance. Eric, do you want to add anything to that?
Eric T. Steigerwalt: Sure, Steve. Let me just walk through very briefly here. As we said, we reported $1.37 per share normalizing to $1.39. Just thinking about a few things that we don't normalize as we consider them part of our business frankly. We did have about $0.04 of initial market impact that helped earnings in the Americas in the first quarter. We’ve talked about the fact that our variable investment income was at the higher end of our range. Our range is $150 million to $250 million, and we came in at $239 million. So you can think about that. In addition, on a normalized basis, we reported P&C earnings of $84 million. And as I mentioned, we expect higher cats in the second quarter and third quarter. And as a matter of fact, versus last year, we actually added another $20 million to our cat provision for the second quarter. So I think P&C earnings will come down a little bit in the second quarter. And finally, we had very good recurring income. We expect that to -- for the most degree, to continue going forward. But it was a very good quarter. So when I say recurring income, investment income, I mean non-variable. So you can think about maybe those 4 categories with respect to adjusting off of our normalized $1.39, Tom.
Operator: And next, we'll go to the line of Ryan Krueger with Dowling & Partners.
Ryan Krueger - Dowling & Partners Securities, LLC: Steve, you've made it pretty clear that exporting Alico's accident and health capabilities globally is a major strategic priority for MET. I was curious if that includes a desire also to place more of an emphasis on A&H in the U.S., where I think you're a pretty small player but there's -- the competitive environment still seems pretty favorable and the market penetration remains pretty low there.
Steven A. Kandarian: Yes, I think you pegged it. That is our intention. We -- the accident and health business that was really, I guess, started in Japan some 20 or 30 years ago has -- Alico did a very good job of rolling that out around the world, and that continues today. Our accident and health sales are up, for instance, in Latin America are up very nicely, and that -- it's through a number of different channels. So our presence in accident and health in the U.S. is very modest, and we expect that we will be developing products and rolling that out through a number of channels, really, starting this year but obviously continuing over the next couple of years to build some momentum.
Ryan Krueger - Dowling & Partners Securities, LLC: Okay, great. And then M&A opportunities in the U.S. and abroad seem to have heated up a little bit lately. How are you thinking about M&A at this point, I guess in terms of both geography and product mix? And along the same lines, when you look at potential M&A accretion versus share repurchase, are you now factoring in the factor that you're likely to be able to deploy a greater amount of capital into M&A at this point versus buyback?
Steven A. Kandarian: Our view of M&A really hasn't changed. We've talked about a number of times in the past. As we look at deals, we'll compare it to a share buyback program as well. And we have to see accretion soon after a deal closes. It doesn't have to be day one. It depends upon the deal and the importance of the transaction to us. But you can be assured that we remain disciplined in any sort of M&A transactions that we do. I have no comment today about any specific M&A deals. Obviously, we don't talk about that until there's certainty. But we are still looking at properties, not just in the United States but globally, that may make sense in terms of being a good fit from our point of view strategically. So that's kind of the key message.
Operator: Next, we'll go to the line of Sean Dargan with Macquarie.
Sean Dargan - Macquarie Research: My first question is just a, I guess, clarification. When you gave the book value guidance for year end 2012 in the neighborhood of $50, that was accounting for the DAC accounting change?
Eric T. Steigerwalt: Yes, it was.
Sean Dargan - Macquarie Research: Okay. And secondly, just a broad question about SIFI. Is it your understanding that companies designated as SIFIs will have to submit a capital plan for calendar year 2013? I mean, in other words, will the framework, the regulatory framework be in place by the end of this year?
Eric T. Steigerwalt: Sean, we just don't know. At this point, there is not much clarity provided by Washington on this topic. So we don't have an answer for you.
Operator: And we'll go to the line of John Nadel with Sterne Agee.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: A couple of quick ones. Did you -- I'm just curious whether you filed a challenge to the Fed's decision on your capital plan. I think you had, like others, 30 days to do so. It seems clear to me, at least, that some of the adjustments that they made to your plan didn't make much sense. So I'm wondering whether you filed any petition along those lines?
Steven A. Kandarian: John, we did not file an appeal. We obviously looked at that avenue as a possibility. Given the fact that we are de-banking and we looked at the time lines of these, we thought it made more sense to focus our energies on de-banking.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Okay. And then along those lines, you mentioned that the closing of the bank sale and the deregistration of the holding company is clearly subject to various regulatory approvals. I guess my question is just -- based on the progress to date, do you still expect the closing of the bank by the end of the second quarter, or is that something that could slip further?
Steven A. Kandarian: As you know, these transactions are subject to regulatory approval, specifically FDIC and even the Fed has an involvement in it in terms of us de-banking, and we just can't say with certainty when the regulatory approvals will be forthcoming. The FDIC has to put it on their docket. They meet once a month. I'm sure they've a lot of matters before them. So at this point in time, we don't have clarity on our side to be specific about timing.
John M. Nadel - Sterne Agee & Leach Inc., Research Division: Okay. And then just one more quick one. Aside from the specific capital plan, buybacks and the dividend raise, is there any restriction on you to, for instance, deploy capital into paying down debt maturities and/or spending capital on acquisition opportunities?
Steven A. Kandarian: Not as to paying down debt certainly. And we do talk to the Fed, typically, before doing an M&A transaction, especially the larger ones. So we keep them informed.
Operator: And next, we'll go to the line of Mark Finkelstein with Evercore Partners.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: I guess just following up on John's. So the $800 million debt maturity, you plan on refinancing?
Eric T. Steigerwalt: Right now, it's uncertain. We've mentioned that we may do that, but we'll let you know as we get through the year.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay. Maybe just to drill into annuities a little bit. Obviously, the sales numbers did come down as targeted. And I think in the opening remarks, you alluded to product changes. My question is, do you have any further planned changes in annuities going forward, and are there any other changes that you're making at the distribution level that's helping to control the sales level towards the targeted $18 billion range for the year?
William J. Wheeler: Yes. Mark, it's Bill Wheeler. We haven't announced any new product changes or any more product changes to annuities. But there -- but I'd be very surprised if we didn't have some changes going forward. And yes, we're always sort of tweaking our distribution in terms of which distributors. Obviously, we have our own agents, but obviously third parties, and we're always looking at sort of the productivity of the various third-party channels we have. So I'd be very surprised if there weren't further changes.
A. Mark Finkelstein - Evercore Partners Inc., Research Division: Okay. And then just maybe one follow-up to, I think, Tom's question earlier specific to annuities. When I look at annuity earnings and I adjust down for the market factors that you talked about, Eric, the $0.04, it still was a very strong annuity earnings core. I think your ROAs went up quite a bit sequentially, 3 basis points or so. Is this level sustainable, or were there any other kind of favorability items in there that we shouldn't really think about as a run rate adjusting for the market?
Eric T. Steigerwalt: Look, you got the market piece, obviously. We had great spreads. We had record spreads in the retail annuity business, 309 basis points. So within there, as per my sort of global comments on spreads, recurring investment income was very good. Now part of that is propped up by the interest rate floors, not only in this business but in others. So I would have to say, I'm not expecting record spreads every quarter, but it was clearly a good quarter and much of it is sustainable.
Operator: And next, we'll go to the line of Chris Giovanni with Goldman Sachs.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: A question in terms of -- it seems like uncertainty remains kind of the prominent word here when it comes to regulation and capital deployment. So -- and we've seen regulatory matters clearly get pushed back or delayed in the past. So I guess what can be done sort of in the near to intermediate term to potentially reduce the capital that continues to build as we await clarity?
Steven A. Kandarian: Chris, there's not a lot that can be done. We're waiting for clarity, and -- but we -- if there is an M&A transaction that makes sense to us, we're going to pursue those kinds of activities. But again, I have nothing today to report to you on that front. Over time, when we are able to de-bank, we'll make a decision about returning or deploying capital in October. We'll talk about our dividend. But at this point in time, given the regulatory environment, that's as much as I can say.
Christopher Giovanni - Goldman Sachs Group Inc., Research Division: Okay. And then can you talk a little bit about what you're seeing in the pension closeout market? I mean, obviously, PRU has had some success recently. But it seems like a lot of CFOs are eager to get this risk off their balance sheet, yet we haven't really seen the big transactions take place. So I guess what do you think it'll take to begin to push some of these things across the finish line?
William J. Wheeler: Chris, it's Bill. I think there is an interest on corporate America's part to getting rid of, I would say, traditional pension plans and doing a closeout. What's giving them pause is continued low interest rates. I mean, the -- when interest rates are this low, the cost of doing that, even if they have a well-funded plan, isn't that attractive. I think they're -- they've kind of said, "Gee, we should just wait. We don't have to do this now. We should wait. Interest rates will be higher." But I think the reality is coming home that interest rates may stay this low for a while yet, given what the Fed says every day. So I think what might occur is -- if there's one big trade printed, they might -- that I think that people might say, "Well, it's probably time to go." So I think this market is pretty dynamic right now in terms of what might break and when. So we'll just -- we'll have to wait and see.
Operator: We'll go to the line of Randy Binner with FBR.
Randy Binner - FBR Capital Markets & Co., Research Division: I just had a kind of a follow-up on Corporate Benefit Funding. The segment has held up well despite the low rate environment. Has it been the -- was it the U.K. again in the first quarter of '12 carrying the result? I think that activity there has been moving along better than in the U.S.
William J. Wheeler: Yes, sales activity has been good. There's not a very big block in the U.K. So the profit contribution from that business is modest. I mean it's profitable, but it's modest. So -- but sales activity has been good. I mean, there's a lot of closeout activity in the U.K. right now.
Randy Binner - FBR Capital Markets & Co., Research Division: And I guess to follow up, too. I guess your answer to Chris's question before, Bill, was that you could still see big U.S. closeouts go. But I guess is -- are smaller scale solutions going to be more of a focus? I mean, is there real traction there, or do we really have to kind of wait for those lumpy big deals to come through?
William J. Wheeler: Well, look, that's -- if you look at our -- the deals that we're executing on now, you would say they're sort of small deals, and that's been that way for a while. I think -- or relatively small deals. They're -- I think what people have talked about for a number of years, including us, is there are a number of large pension plans out there, is something else going to happen and something that would really be big. And the answer is we don't know yet. We'll have to wait and see. Clearly, there's an interest on the part of corporate America to do those deals. But obviously, we've -- I talked about the pressure is what's causing them to pause.
Operator: Next, we'll go to the line of Jimmy Bhullar with JPMorgan.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: I had a couple of questions. The first one, for Steve, just on your approach to share buybacks. Obviously, there's uncertainty on how long it could take you to deregister the bank holding company. But assuming that you're able to do it by sometime in late 2012, would you still wait for more clarity on the SIFI rules before you resume share buybacks, or would you start repurchases regardless? And then the second question, maybe Bill can answer that, is just on individual life. Your mortality has been weak, I think, in -- or margins have been weak for 3 of the last 5 quarters. Part of that, I think, is lower reinsurance offsets. But just to your comfort with pricing in your individual life book, especially since you've been raising prices as well. Is there any one product that's causing weakness or part of the block? Just what your comfort level is with the underwriting in that block?
Steven A. Kandarian: Jimmy, on the first one, buybacks, let me start by saying it is our intent to return excess capital to our shareholders. That remains a strong commitment on our part. And I also said that we can look at the entire landscape at a time when we can return capital to shareholders. Right now, we cannot. So we'll take a look at all the factors, how MetLife is doing, our capital position, the overall economic environment, what's going on there and the regulatory landscape as the key factors, and we'll have to assess that as that day comes in terms of being able to return capital. So right now, I just -- I don't see any upside in me making predictions about what all those factors will look like at the point in time when we can return capital to our shareholders. So I'm afraid it's not the clarity you'd like to have, and frankly, it's not the clarity I’d like to give you, but that's the environment we're living in.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: No, I know what it is. The reason I'm asking is in previous cases, you guys have made recommendations that obviously have -- and things have been out of your control but you've implied a higher level of certainty with this than was really the case.
Steven A. Kandarian: I think you're right, we have. And we anticipated passing the Fed stress test, and we did not.
Jamminder S. Bhullar - JP Morgan Chase & Co, Research Division: And then on the individual life question?
Eric T. Steigerwalt: Sure, Jimmy. So now earnings were down a little bit in individual life, but really that was due entirely to -- or almost entirely to the settlement we reached, because the reserve adjustments that had to be made to ascete [ph] those old policies were in the charge there, which is the $26 million after tax was in that line. I think if you added that back, I think individual life had a pretty good quarter. You are right. I mean, mortality is up a bit this quarter. There is a seasonality aspect to mortality. And oftentimes, the mortality report -- remember, that's gross before reinsurance offsets. And reinsurance offsets, that's just -- it can move around a little bit quarter-to-quarter. If you look over any lengthy period of time, we are -- our mortality experience is actually pretty good. The pressure on pricing changes, and that's really occurring in UL, is all about interest rates and the capital that's needed to support the ULSG guarantees. And so we, and really, I think everybody in the industry is as well, we're all raising prices in UL. It's -- in this kind of an interest rate environment, it's just not as an attractive product. And because of that, you can see our sales are down this quarter, as we continue to tighten pricing there. So I -- that's, I would say, what's really going on with individual life pricing.
Operator: And next, we'll go to the line of Ed Spehar with Bank of America.
Edward A. Spehar - BofA Merrill Lynch, Research Division: I have 2 questions. First, can you give us any sense on the visibility of VII in the second quarter?
Steven J. Goulart: Yes, it's Steve Goulart. I think Eric actually, probably, gave the answer already. But as we look at VII for the next quarter and the rest of the year, we still expect it to perform within the plan that we set out at the beginning of the year.
Edward A. Spehar - BofA Merrill Lynch, Research Division: But I guess -- anything related to high end or low end? I think there's about a $0.06 gap between the 2.
Steven J. Goulart: I think we're still comfortable with the range we've given and that we expect to be in that range.
Edward A. Spehar - BofA Merrill Lynch, Research Division: All right. And the second question is Milliman's Hedge Cost Index for VA was at an average level in the first quarter that was similar to the peak we saw during the financial crisis. So I guess the question is, do you think that this index accurately captures the cost of hedging for the business? And if it does, would you anticipate that more companies are going to follow your lead and pull back from this business? And I mean, will you continue to follow? I guess if others raise prices, lower guarantees, will you continue to follow those down?
William J. Wheeler: Well, I'll be honest. I don't follow the Milliman Hedge Cost Index. I don't want to give them an endorsement, frankly. We look at our own hedge cost index. Our hedge cost index actually went down. It's not anywhere near what it was at the peak, and it was actually down from the last couple of quarters. So my guess is, we don't track very well with that index. That's one. Two is, in terms of pulling back -- I mean, remember now, we're only going back to sales that we had in 2010, right. I mean, 2011 was a bit of an aberration because of the way we priced the new product. So it's all relevant in terms of what you mean pulling back. Obviously, we've seen people in the industry exit this business, and a lot of that has to do with, frankly, their historical risk management performance. And they just couldn't stand the pain anymore. Our experience is very different and we've talked about on many different occasions about how we hedge this product and how we've come through the financial crisis. So we're -- we think we're in much better shape, and we think the product we sell today has a very good return. So hedging costs are still a little elevated relative to our pricing assumptions, but just a little bit, frankly, and that does jump around. So I guess that's kind of our feeling about that.
Eric T. Steigerwalt: Bill, I'll just add. Ed, with the new product, as we go through this year, our hedging costs will continue to come down a little bit. So you can factor that in as you think about this as well.
Operator: And next, we'll go to the line of Joanne Smith with Scotia Capital.
Joanne A. Smith - Scotiabank Global Banking and Market, Research Division: Yes. I just wanted to follow up on the M&A and just talk a little bit more from a philosophical level. It just seems that there's been a number of properties that have been talked about or have actually been put on the market. And I just -- I'm just wondering, Steve, if you think that this is a period that we're entering into of greater consolidation for a longer-term period. And I don't expect you to comment on specific transactions, but just in terms of, philosophically speaking, it looks like there's a lot more capital rationalization going on, especially with respect to some more distressed properties.
Steven A. Kandarian: Joanne, I think that's right. There are things that, frankly, we've known about now for a year or 2 in terms of certain companies that have made announcements that they'll be divesting of certain properties as they try to repair their own balance sheets. And those properties now are entering the marketplace. Some have already been on the marketplace for a while and have been sold. So I think that trend will continue for some period of time. And as you can imagine, most any transaction of any size, we do look at. These transactions are shown to us. We are looking at properties that make sense, from a strategic point of view, in terms of our goals going forward, in terms of we want to expand our business. So we look at those properties very closely. We determine whether or not to make a bid. But if we make a bid, again, as we've said many times, has to make sense from a point of view of shareholder value creation, which means it has to be accretive soon or immediately, and we compare it to share repurchases.
Joanne A. Smith - Scotiabank Global Banking and Market, Research Division: Is it a buyer's or seller's market, Steve? And I guess there's probably different answers for each kind of transaction, but generally speaking.
Steven A. Kandarian: I'd say that right after the start of the crisis, it was very much a buyer's market. And Alico is an example of that. I think now it's more of a neutral market. It's not like 2006, 2007, where it's clearly a seller’s market. But I'd say within that, there are segments. So certain properties, you can imagine -- you've read the announcements of a number of companies looking to expand in markets in Asia. So properties of that nature are getting more attention and, potentially, more aggressive bidding. Other markets and other properties that perhaps are not growing as rapidly might shift a little bit more toward the buyer side.
Operator: And our final question will come from the line of John Hall with Wells Fargo Securities.
John A. Hall - Wells Fargo Securities, LLC, Research Division: My question has to do more with, I guess, growth. And over in Japan, it looked like there was a lot of that going on. And I was hoping you could offer a little bit more granularity about what you're selling, why sales are up so much and perhaps touch on some of the other regions as well.
William Hogan: This is Bill Hogan. Let me start to reiterate what Steve said that sales were up 28%. We saw double-digit growth across all of our channels, also saw a good mix of different products in terms of life products, annuity products and our A&H products were all up in the course of the first quarter. The leading distribution was bancassurance, and our independent agents, particularly the broker general agents, had a real strong quarter. They continue to have strong growth opportunities there. A reminder that this obviously does not include the month of March, which is traditionally the strongest month for the bank business because we report the quarter with a one month lag. So we see some great growth there, and we've got a good balance risk profile due to the diversity of our product mix. So we continue to see that broad product mix and the good diversity of products, and that is what we see going forward as well.
John A. Hall - Wells Fargo Securities, LLC, Research Division: I guess the question is why.
William Hogan: I think on the independent side and the bank side, we had some very strong wholesaling and training. They're still learning the business. The BGA business is growing rapidly, and they need training. And our wholesalers are providing that. The banks are still getting new into the life insurance market, and we're providing the training to help support that. On the independent or career side of our agency channel, we continue to see steady growth there through providing good solid products, and we're offering consultative-type sales that include both a life product as well as an A&H product. And that's really what customers are looking for these days. On the direct marketing side, we've been repositioning the portfolio and doing a lot more outbound telemarketing, and that's been extremely successful, as well as starting to see some sales on the Internet.
John A. Hall - Wells Fargo Securities, LLC, Research Division: Great. And can we get an early look on March?
William Hogan: Well, March is, as I said, it’s the end of the year for the bank business, so it looks -- that certainly will look pretty strong, and I think we'll see a good second quarter relative to prior year. A reminder that last year, we had the earthquake which dampened sales substantially. So good second quarter. It looks promising, and the bar certainly gets raised in the third and fourth quarter.
John McCallion: Great. Well, thank you, everyone, for joining us. Obviously, if you have any follow-up questions, feel free to contact the Investor Relations department. And everyone, have a great day. Thanks.
Operator: Ladies and gentlemen, this conference will be available for replay after 10 a.m. Eastern Time today through May 4, 2012. You may access the AT&T TeleConference replay system at any time by dialing (320) 365-3844 and entering the access code 226301.  That does conclude our conference for today. Thank you for your participation and for using AT&T Executive TeleConference Service. You may now disconnect.